Operator: Good morning, everyone and welcome to the TriState Capital Holdings Conference Call to discuss financial results for the three months ended December 31, 2019. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded.Before turning the call over to management, I would like to remind everyone that today's call may contain forward-looking statements related to TriState Capital that may generally be identified as describing the company's future plans, objectives or goals. Such forward-looking statements are subject to risks and uncertainties that could cause actual results or outcomes to differ materially from those currently anticipated. These forward-looking statements are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995.For further information about the factors that could affect TriState Capital's future results, please see the company's most recent annual and quarterly reports filed on forms 10-K and 10-Q. You should keep in mind that, any forward-looking statements made by TriState Capital speak only as of the date on which they are made.New risks and uncertainties come up from time-to-time and management cannot predict these events or how they may affect the company. TriState Capital has no duty to and does not intend to update or revise forward-looking statements after the date on which they were made.To the extent non-GAAP financial measures are discussed in this call comparable GAAP measures and reconciliations can be found in TriState Capital's earnings release, which is available on its website at tristatecapitalbank.com.Representing TriState Capital today is Jim Getz, Chairman, President and Chief Executive Officer; he will be joined by David Demas, Chief Financial Officer for the question-and-answer session.At this time, I would like to turn the conference over to Mr. Getz.
Jim Getz: Good morning and thank you for joining us. Our fourth quarter 2019 results capped off what was a very strong year for TriState Capital and one in which we achieved a number of meaningful milestones for our company, our clients, our shareholders and our team. Quarterly and annual revenue reached record levels from organic growth generated by all three of our business lines. The strength of our business and our engagement with clients was at its best.Our stockholders were rewarded in 2019 for their investment in TriState Capital with the company's shares up 34% last year, well ahead of bank and broad equity market indices. Since our IPO in May 2013, the stock appreciated 127% and outperformed bank asset manager and general equity market indices by a wide margin. Given the appreciation of TriState Capital shares in 2019, the stock traded just 13.4 times earnings at year-end indicating further upside potential relative to the market.Our loans and deposits grew at record rates for both the quarter and the year. Total loans grew organically by 28% in 2019, with each of commercial and industrial, commercial real estate and private banking loan balances growing to all-time highs. They propelled us well beyond our $7 billion asset target for 2019.Lending was fully funded by deposit growth of more than 31% during the year and our loan-to-deposit ratio remained under 100% for the third consecutive quarter. As we continue to add critical mass through responsible organic growth, we further enhanced the strength of our balance sheet and our ability to invest in our business for the benefit of all our stakeholders.The Chartwell Investment Partners client assets under management expanded during both the quarter and the year to $9.7 billion, as we engaged with new and existing clients to benefit from our manager's strong investment performance.TriState Capital drove record net interest income and non-interest income growth pushing total 2019 revenue up 11% from the prior year. Our organic top line growth also continued to outpace expenses even as we strategically invest in our business. Pre-tax income grew at a double-digit pace of 14% in 2019 and GAAP earnings per share grew by 4% to $1.89 for the year.As noted in our earnings release, these results were impacted by approximately $0.03 per share in expenses, which were associated with advanced due diligence on an investment management acquisition candidate. These conversations concluded before a definitive agreement was reached.We remain fully committed to our previously disclosed strategy to grow Chartwell through a combination of organic and acquired means. We will continue to actively evaluate potential candidates for acquisition and importantly, we'll only consider those which meet all of our criteria including cultural compatibility, credible investment performance, complementary investment products and immediate earnings per share accretion.In the meantime, Chartwell continues to contribute at least 20% to TriState Capital's total revenue with investment management fees comprising 69% of non-interest income last year. Through the end of the fourth quarter, Chartwell's active investment strategies also continued to deliver superior performance.57% of its products outperformed their respective benchmarks for the 1-year period, 92% were ahead for 3-year performance and 75% were ahead for 5-year performance. This track record along with our unique product offering and outstanding distribution capability is attracting new business.During the fourth quarter, Chartwell recorded new business and new flows from existing accounts of approximately $326 million, which along with market appreciation of $303 million more than offset outflows. As a result, Chartwell grew assets under management by nearly 6% to $9.7 billion last year, outpacing publicly traded traditional asset managers in the U.S., which reported median organic assets under management growth of about 1%. The pipeline continues to be healthy as it's ever been and we look forward to continuing to convert this pipeline into assets under management through 2020.Turning to Chartwell's revenues in 2019 investment fees of just over $36 million simply did not meet our organic growth goal. But longer term, we believe we have the investment management talent, sales and distribution capability and infrastructure to achieve top-line growth that's aligned with our expectations.In the meantime, we are mindful of the need to balance investing in Chartwell's future growth with expense discipline. This business has been quite profitable since our entry into this space in 2014. And in 2019 we began taking active measures to measurably and meaningfully enhance Chartwell's contributions to earnings.Chartwell lowered segment expenses by more than 2% in 2019 for the year before excluding acquisition-related costs. In addition, segment compensation and benefit expenses were lowered by more than 5% in 2019. Overall by the end of last year, Chartwell had reduced its annual expense run rate by more than $2 million, which will be more fully reflected in the 2020 results.At TriState Capital Bank, our commercial business continues to thrive. Middle market commercial loan balances approached $3 billion at year end an increase of 27% from one year prior and 35% annualized from September 30, 2019.Period-end commercial and industrial loans surpassed $1 billion for the first time at the end of 2019 growing by 38% last year. Commercial real estate loans totaled $1.8 billion increasing 22% in 2019. Even with this impressive performance as a percentage of total loans CRE lending declined to 27% at year end.Origination activity was very strong during the fourth quarter with about $188 million from C&I and about $134 million from commercial real estate. As you saw from our average balance sheet much of our fourth quarter production took place in December. In addition, the impact of declining interest rates related to the Fed funds target rate cuts in late September and October are reflected in our fourth quarter results.Given the timing of production and the more stable current interest rate environment, we expect the full benefit of our record fourth quarter loan growth to be realized in net interest income in 2020. We remain very well-positioned to continue our commercial banking success in the current environment, we're encouraged by our C&I and CRE pipelines and we expect to continue to deliver strong commercial loan growth during 2020.Our private banking business achieved exceptional results with the portfolio growing by 29%. We are the nation's premier provider of marketable securities-based lending with TriState Capital private banking loans offered through our expanding network of 213 financial intermediary firms and over 60,000 individual advisers.We've made this strategic investment in people, technology and client experience to secure our market position and we continue to build the relationships with new individual advisers through our network. We now have a business development team of about 30 individuals dedicated to growing the national private banking business. By the end of 2019 we are working with more than 3,000 individual advisers and trust officers with about 1,200 doing multiple transactions for their clients on our platform last year.Turning briefly to CECL and its implementation this year. While there are many factors and how it applies to our business, there are two I'd mention in particular. The first is that well over half of our loans are in TriState Capital's portfolio of private banking loans collateralized by marketable securities. It's some 56%. This portfolio has favorable treatment under regulatory capital requirements and current ALLL methodology similarly. CECL will not require a reserve for credit loss in this portfolio going forward.The second factor is our rate and level of new loan production and growth in the commercial part of our lending business. The calculations for provision amounts under CECL are much more impacted by new loan production and growth than the pre-existing ALLL methodology.In addition, while our C&I lending has picked up pace, our commercial real estate lending continues to be a significant source of growth. We expect to continue our history of double-digit loan growth in these businesses with a continued focus on strong asset quality.Overall, our current efforts at implementing CECL lead us to anticipate that our total allowance will be between 23 and 25 basis points of total loans outstanding. Provision expense is expected to be between $4.5 million and $5.5 million for the year. Separately we expect the 2020 tax rate between 15% and 16%.Our national deposit franchise has been successful in keeping pace with our exceptional loan growth. Deposits grew organically by nearly $1.6 billion last year through engagement of new and existing clients in diversified channels. Overall we continue to maintain flexibility in pricing deposits as evidenced by our improving funding cost in the first quarter – in the fourth quarter.Our total cost of funds for all deposits and interest-bearing liabilities averaged 1.93% in the fourth quarter a 25 basis point improvement from the linked third quarter. Borrower swap fee income continued to be healthy in the final quarter of 2019, totaling some $3.4 million and bringing 2019 swap fees to $11 million as we continue to grow the population of clients who want access to this product to partner with our term loan facilities.As you know, this type of activity is largely driven by the rate environment. However it continues to strengthen as we integrate it more indelibly into our growing lending business. In 2019, 24% of swap fees came from private banking clients compared to 12% of the year before after we invested very effectively in the offering capability and client experience in 2018.We have built this company to last through a strategy of responsible growth, emphasizing client focus, discipline, soundness and profitability. Under the guidance of an experienced leadership team and Board of Directors, we are pleased to announce that a new independent Director, Audrey Dunning joined the TriState Capital Board last week. Audrey is the Founder and CEO of AMP Growth Advisors and she has spent much of her career focused on information technology and digital transformation consulting. Audrey currently sits on the Board of Directors for the Pittsburgh branch of the Federal Reserve Bank of Cleveland and also has past bank board experience. TriState Capital will surely benefit from her experience and counsel.We are highly motivated by the opportunities we see ahead and encouraged by the performance we're building. In 2020, we focused on the following goals: growing total revenue at a double-digit pace over 2019; growing pre-tax income at a double-digit pace, growing loans at a double-digit pace of 15% to 25%, growing total deposits at a double-digit pace of 15% to 25%, growing Chartwell gross client inflows by 25% or more from 2019's $1.1 billion, improving Chartwell's adjusted EBITDA margin by at least 400 basis points from last year's 21% excluding acquisition-related expenses. Maintaining Chartwell's strong investment performance relative to benchmarks and maintain strong asset quality metrics. These 2020 goals are based wholly on organic growth and do not take into account the contributions of any investment management acquisition we may undertake.Based on our pipeline, position in each of the markets we serve, the talent and infrastructure we have in place today and our continued focus on responsible investments and expense discipline, TriState Capital is very well positioned for strong and profitable growth in 2020 and beyond.Operator, that concludes my remarks. Would you please open the lines?
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Michael Perito of KBW. Please go ahead.
Michael Perito: Hey, good morning guys. Happy New Year.
Jim Getz: Good morning, Michael. Happy New Year to you.
Michael Perito: So a couple of questions. One, just on the loan growth expectations for 2020 and deposits as well, I guess, 15% to 25%. Obviously, it's a fairly wide range. I know historically, you've always said the way to kind of think about it as a 15% CAGR. But it would seem like recent performance would at least make us think that we have to rethink that a little bit near term. And I was just wondering if you could discuss kind of where the pipelines are? And maybe what some of the things that need to occur in 2020 for you to be at either end of that range that you provided the 25% versus the 15% when thinking about loan-to-deposit growth?
Jim Getz: Mike, we wanted to provide you with a reasonable guideline based on our assessment of the marketplace, we obviously had an extraordinary quarter in the fourth quarter. I wish I could say, we're -- we could guarantee you, we could replicate that on a consistent basis. As you're probably aware, the second and fourth quarter are normally our strongest quarters. If you look at our business in general.And so what we wanted to do is to give a broad spectrum. I would tell you everyone sitting around the table here with me would be disappointed if we had 15% growth in these particular markets. So I would say from a longer-term forecast, I would fully expect next year that we'd be seeing over 60% of this loan portfolio being in the private banking category.And I believe that you'll continue to see the commercial real estate growth, but it will stay in the range of 30% or maybe slightly less than that. And the rest will be the commercial and industrial loans. So we expect that we're going to have a very strong year. As we look at our middle market marketplace, we see the companies with fairly strong cash, cash flow and we see their inventories relatively low. And as we look at private banking, we've really broadened that distribution network. And we're into a lot more opportunities at this point, and we see that continuing to grow at the pace of the 25% to 30% range.
Michael Perito: That's really helpful, Jim. Thank you. And then just secondly, I just want to confirm and ask a follow-up on CECL. So, if I heard you correctly, Jim so you will no longer be carrying a reserve against the private banking loans under – once you adopt CECL is that correct?
David Demas: Mike, there's no requirement to. As you know, we've talked about the regulatory requirements under Basel III. And Jim mentioned ALLL methodology the current methodology. Under CECL, there is a provision called the practical expedient, which also applies to these types of loans. And so we are not required to carry any capital against those loans. However, we do put six to eight basis points against those loans just out of an abundance of caution. So there will be –
Michael Perito: So even once you adopt CECL you guys – and I know the loss rates are lower than collateralized and I don't think – the reserve is all that significant of a number today, but you'll still be putting something against these loans even if it's a modest amount even though you don't have to once you adopt CECL?
David Demas: Exactly, yes.
Operator: The next question is from Steve Moss of B. Riley. Please go ahead.
Steve Moss: Just want to start on the acquisition front. What do you think Jim the potential for clean acquisition is this year?
Jim Getz: I communicated to you last year that, I felt very strongly we could get one done in 2019. I feel just as strong. We're disappointed that what we have worked on did not come to fruition. And Tim Riddle, who is the CEO of our Money Management Firm, and I spent a consequential amount of time on it we obviously also spent a meaningful amount of money on it. But at the end, we recognized that that particular situation would not work for us, and walked away. I will tell you Steve that, the market there's an awful lot of properties on the – on the market at this particular time. We've been looking at multiple ones and we have a couple that we're looking at very closely right now. So the opportunities are there. It's just the question of finding the right opportunity. So I'm optimistic, but also disappointed that we weren't able to complete the acquisition that we looked at, but we walked away for the right reasons.
Steve Moss: Okay. That's helpful. And then my follow-up here just on capital. Obviously, you still have planning capital to support growth. But given the growth in the acquisition dynamic just kind of wondering, what your thoughts are and potential needs?
David Demas: Steve, good morning. We have the necessary liquidity and capital to pull-off an acquisition without needing to go to the capital markets. And so there's no imminent need to do so, but we'll continue to monitor closely as we move through the year. And as we – as acquisition targets present themselves.
Steve Moss: Okay. Thank you very much.
Operator: [Operator Instructions] The next question is from Matt Olney of Stephens. Please go ahead.
Matt Olney: Hey, thanks. Good morning, guys.
Jim Getz: Good morning, Matt.
David Demas: Good morning, Matt.
Matt Olney: I wanted to focus on the outlook for operating expenses and the growth behind that. Perhaps, you gave us some guidance on that in the prepared remarks. I just missed it, but just give us some commentary about your expectations for expense growth in 2020?
David Demas: Sure, Matt. You didn't miss it. We didn't provide guidance, I don't believe. But we're going to continue to make the necessary investments as we always have in people process and technology to drive growth in the business. We're very focused on driving operating leverage growth year-over-year. As we sit here today, I would tell you that the bank efficiency ratio will probably come in somewhere around 53% to 55% for 2020. We're going to work hard to come in under that range, but that's our most likely scenario at this point.
Matt Olney: Got it. Okay, that's helpful. And then as a follow-up I'm curious about your expectation on the loan yields in the near-term. And I'm looking for just a general update on pricing that you're seeing through your various major products; private banking, CRE, and C&I. And obviously trying to appreciate if the Fed kind of stays put here kind of what type of inflection we're going to see on the loan yield side? Thanks.
David Demas: So, loan pricing assuming no Fed changes this year. So, a stable market. We're projecting the commercial and industrial loans will price at LIBOR plus 225 to 250 over LIBOR. CRE commercial real estate will price at LIBOR plus 235 to 275 and private banking will be LIBOR plus 175 to 250.
Matt Olney: Okay, that's helpful. Thank you.
Operator: The next question is from Ryan Griffin of D.A. Davidson. Please go ahead.
Russell Gunther: Hey, good morning guys. This is Russell Gunther. How are you?
James Getz: Good morning, Russell.
David Demas: Good morning.
Russell Gunther: I wanted a quick follow-up on the expense question just asked. And David I appreciate the comment for the bank efficiency. Wonder though if you could comment -- you've also thought about this from an average asset perspective as well as the core expense growth percentage perspective. I was hopeful you could share your related thoughts on those metrics as well.
David Demas: Yes, so Russell we don't -- as you know we've talked about it we don't really focus on expense to average assets that's somewhere between 1.60% and 2% depending upon the quarter and the year.We are focused on driving operating leverage. We put a goal out there last year to keep expense growth at 10% or less. We almost hit it, we would have had we not had the acquisition-related expenses, one-time expenses. And so we're targeting something around 10% or slightly below that again this year. And that's -- I think we've got a reasonable chance of hitting that.
Russell Gunther: I appreciate it David. And then after my second question guys -- thanks for the color on expectations for where loan yields are expected to reprice. Would be interested in your thoughts around the liability side of the balance sheet as well continued traction within the treasury management deposit product and your ability to lower the overall cost of funds.
Jim Getz: Yes, I think Russell to give you the right perspective on it I think we ought to give you some colors we see it on the quarter that we just came out of because we could not be more pleased of how this company responded and what I would consider somewhat of a challenged environment with the loan portfolio that's well-positioned to avoid interest rate risk.And what you saw and I think this quarter that we're in right now will be a much more robust quarter from an earnings standpoint for us as long as the interest rates remain relatively stable.And what I believe you saw in the second quarter or the fourth quarter was the real power of our distribution system. The numbers were truly volume driven. And you clearly see the full -- and won't see the full impact until the first quarter is complete.But think of what's reflected here you had NII, up 2% quarter-over-quarter despite a 10 basis point compression in the NIM; you had continued strong swap fee income; you had lower taxes that were driven by historical tax credits that were originated by our commercial real estate bankers who put on loans these -- the loans that they put on that put off the historical tax credits all had what'll be very strong cash flow.We had a broad-based world-class loan growth and even if you look at Chartwell, the assets under management growth outpaced the marketplace as I noted in the presentation and we were able to sustain the prior quarter's revenue and improve the bottom-line while we had negative cash flows from the -- from the Berwyn Income Fund which is our highest priced product.And the growth essentially offset much of the margin compression. And I note that our cost of funds dropped by 37 basis points and we had robust deposit growth. So, this franchise is now well established. It's functioning on all cylinders. And I think this quarter really reflects probably one of the more difficult quarters that we've had in that regard and the company continued to grow pretty handily and showed what its power is. And I think you're going to see it even more reflected in the quarter that we're in right now.
Russell Gunther: Very good. Jim, David thank you both.
Operator: The next question is a follow-up from Matt Olney of Stephens. Please go ahead.
Matt Olney: Yes, I just want to circle back on the whole loan yield discussion David. And if I look at those ranges you gave me to your various major products. And I apply that to the pricing of your more recent loan mix. I'm shown that loan yields should be very close to inflecting here and that's assuming LIBOR is unchanged which is obviously an important variable. But am I thinking about that right that that loan yield should be very close to stabilizing and even inflecting here over the next quarter or two?
David Demas: Yes I think that's right Matt. We don't spend a lot of time talking about NIM. You've heard us and why we don't do that. But if you just focus on NIM for a second, Jim talked about being able to drive meaningful deposit cost reduction. Overall for the year we drove 51 basis points of cost reduction there. And net interest margin for 2019 was 1.97% for the year on average. It was 1.83% on average for the fourth quarter given the backdrop of a flat Fed environment and assuming the relationship between LIBOR and EFF continues to hold at 10 basis points to 15 basis points. We see NIM at about 1.80% this year. So you are right we're reaching that point.
Matt Olney: Okay. That's helpful. And then more of a modeling question for you David. I guess, obviously, the loan growth will drive the size of the balance sheet. But for securities and for liquidity balances how should we be thinking about forecasting this? I think both those are around 6% of average earning assets. Is it a reasonable expectation that those should remain around -- each around 6% of average earning assets as you grow the loan book in 2020?
David Demas: They will -- I would say 6% to 8%. We have been holding cash because we did -- haven't liked the rate environment. But as we grow this bank we need to continue to grow on balance sheet liquidity. And so we've been very focused on the investment book early this year. We've made some purchases here in the first quarter and you will see us continue to build that book -- the investment book over the course of the year.
Matt Olney: Okay, great. That’s all from me. Thank you, guys.
Operator: The next question is from Bill Dezellem of Tieton Capital Management. Please go ahead.
Bill Dezellem: Thank you. That's Tieton Capital. But would you please discuss the roughly $9 million jump in the adverse credits? And what led to that?
Jim Getz: Yes, I'd be more than glad to go over that with you Bill. What -- the challenge that we have is our adverse rated credits are very, very low for a $7.5 billion bank. So any time you have any type of modification it will be most noted. But let me point out what drove that. And we also should give you a sense of what's going on within the context of that portfolio. It was essentially two loans both secured by real estate.One of them is a little over a $2 million loan that's secured by real estate. And the assignment of an endowment fund.And the other one and these were both 6-rated credits and now they're 7-rated, they're special mention, they are not substandard credits. And the other one is a real estate loan, $7.3 million. And it's a sole bank, sole bank deal we're the only party involved in it. And it's secured by real estate. Both these are paying as agreed.I can point out to you that we don't have a single commercial loan, that's not paying as agreed. But I also would like to point out to you that during this quarter which you didn't see substandard loans decreased $2.1 million.So our substandard loans are now $4.9 million. Our nonperforming loans remained at just $188 -- $183,000. OREO remained exactly the same, no change and our non-performing assets were not changed for the quarter either.
Bill Dezellem: Great thank you. And then, do we understand correctly, that under CECL the provision will move up to something in the neighborhood of $1.25 million per quarter versus your $750,000 this quarter. So, essentially you're rounding here?
David Demas: So the -- yeah, so what Jim mentioned $4.5 million to $5.5 million of provision this year under CECL is what we're thinking at the moment, that's our best view of how the year will play out. It's obviously going to change as the loans build over the course of the quarter and as we continue to move through the year. But that's our estimate at this point.
Operator: The next question is a follow-up from Russell Gunther of D.A. Davidson. Please go ahead.
Russell Gunther: Yeah. Thanks guys for the follow-up. On the CECL front as well, do you guys have an estimated day one impact that we'll see in the first quarter?
David Demas: Yeah Russell, we're still fine-tuning some of the data and running some back tests. And so, we're not going to put out a number just yet. But it's going to be very modest relative to capital. It will not be -- we're not anticipating it will be a material impact, Operator?
Russell Gunther: Thanks for the clarification. Thanks David.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Jim Getz, for closing remarks.
Jim Getz: Thank you very much for your continued interest in TriState Capital and your participation today. We look forward to updating you on our first quarter results, in April. Have a good day.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.